Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Partners Third Quarter 2017 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers’ remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, November 7, 2017. I would now like to turn the call over to today’s host, Jeff Holy, Westlake Chemical Partners Vice President and Treasurer. Sir, you may begin.
Jeff Holy: Thank you. Good morning, everyone and welcome to the Westlake Chemical Partners third quarter 2017 conference call. I am joined today by Albert Chao, our President and CEO; Steve Bender, our Executive Vice President and Chief Financial Officer, and other members of our management team. The conference call will begin with Albert, who will open with a few comments regarding Westlake Chemical Partners’ performance in the third quarter as well as our current outlook on our performance and opportunities. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments and then we will open the call up to questions. During this call, we refer to ourselves as Westlake Partners or the Partnership; reference to Westlake or Westlake Chemical, refer to our parent company, Westlake Chemical Corporation; and references to OpCo refer to Westlake Chemical OpCo LP, a subsidiary of Westlake Chemical and the Partnership which owns certain olefins assets. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management’s beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. Actual results could differ materially based upon many factors, including operational difficulties, the volume of ethylene that we are able to sell, the price at which we are able to sell ethylene and changes in the prevailing economic conditions, actual and proposed governmental regulatory actions, competitive products and pricing pressures, our ability to borrow funds and access capital markets and other risk factors discussed in our SEC filings. This morning, Westlake Partners issued a press release with details of our third quarter financial and operating results. This document is available in the Press Release section of our webpage at wlkpartners.com. A replay of today’s call will be available beginning two hours after completion of this call until 11:59 p.m. Eastern Time on November 13, 2017. The replay may be accessed by dialing the following numbers. Domestic callers should dial 855-859-2056. International callers may access the replay at 404-537-3406. The access code is 97240040. Please note that information reported on this call speaks only as of today, November 7, 2017 and therefore you are advised that time sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through the Internet webcast system that can be accessed on our webpage at wlkpartners.com. Now, I would like to turn the call over to Albert Chao. Albert?
Albert Chao: Thank you, Jeff. Good morning, ladies and gentlemen and thank you for joining us to discuss our third quarter results. In this morning’s press release, we reported consolidated net income including OpCo’s earnings of $82 million for the third quarter of 2017. Westlake Partners net income was a record $30 million. This was a milestone quarter for Westlake Partners as we completed our first dropdown transaction, since the dropdown in the second quarter 2015 with MLP producing an additional 5% interest in OpCo as well as our first equity offering since our IPO in August 2014. This transaction was effective as of July 1st and was approximately 22% accretive to our unitholders, which allow us to continue on our path of growing distributions. We’ll continue to pursue additional growth opportunities that will grow our earnings and cash flow. OpCo has a large dropdown inventory; we plan to increase our ownership of OpCo. We can also grow our earnings and cash flow through the acquisition of other qualified income streams, either directly or jointly with our sponsor, Westlake Chemical. The new Gulf Coast ethylene cracking joint venture that our sponsor and Lotte are constructing, could be considered as an opportunity upon its completion in 2019. On November 1, 2017, we announced distributions of $0.3756 per unit with respect to the third quarter of 2017, which is a 2.9% increase from the second quarter of 2017 distribution and a 12% increase from the third quarter 2016 distribution. This is the 11th consecutive quarterly increase in distributions to our unitholders since our initial public offering in August of 2014. For the third quarter, MLP distributable cash flow provided coverage of 1.28 times the declared distributions. I would now like to turn our call over to Steve to provide more detail on the financial and operating results for the third quarter. Steve?
Steve Bender: Thank you, Albert, and good morning, everyone. In this morning’s press release, we reported consolidated net income including OpCo’s earnings of $82 million on consolidated sales of $297 million for the third quarter 2017. Westlake Partners’ net income was a record $13 million or $0.47 per limited partner unit. We also reported MLP distributable cash flow of $15 million for the third quarter. Third quarter net income for Westlake Partners of $13 million increased by $4 million or $0.15 per limited partner unit compared to third quarter 2016 Partnership net income of $9 million. The increased net income was primarily due to the 5% increase ownership interest in OpCo’s as a result of the dropdown transaction that was effective July 1, 2017, and increased production at all of OpCo’s facilities. This increase in production includes the additional capacity in Lake Charles following the 250 million pound expansion at our Petro 1 facility completed in July of 2016 and the 100 million pound expansion at our Calvert City facility in April 2017. This increase was partially offset by certain reimbursements from Westlake Chemical under the Ethylene Sales Agreement that were booked in the third quarter of 2016. MLP distributable cash flow of $15 million for the third quarter 2017 was $8 million higher than the third quarter of 2016 MLP distributable cash flow of $7 million. This increase in MLP distributable cash flow was primarily due to the increased Partnership interest in OpCo, higher production at all of OpCo’s facilities and more maintenance cost. The third quarter 2016 was negatively impacted by the unplanned outage Calvert City as well as the completion of the planned turnaround and expansion at Petro 1. The Partners’ third quarter 2017 net income of $13 million was $3 million higher than second quarter 2017 net income of $10 million. MLP distributable cash flow of $15 million was $4 million higher than second quarter distributable cash flow of $11 million. The increases in net income and MLP distributable cash flow for the third quarter of 2017 was primarily due to the increased ownership interest in OpCo and the increased production as compared to the prior quarter. For the first nine months of 2017, net income attributable to the Partnership of $33 million or $1.23 per limited partner unit was $3 million more than the first nine months of 2016 net income to the Partnership of $30 million or $1.11 per limited partner unit. The increase in net income attributable to the Partnership as compared to the prior year period was due to the Partnership’s increased ownership interest in OpCo and increased production at all f OpCo’s facilities, partially offset by certain reimbursements from Westlake under the Ethylene Sales Agreement that were booked in the first nine months of 2016. MLP distributable cash flow of $38 million was $17 million higher than the first nine months of 2016’s distributable cash flow of $21 million. This increase in MLP distributable cash flow for the first nine months of 2017 is due to the increased production at Petro 1 in Calvert City, lower maintenance cost and higher ownership interest in OpCo for the third quarter of 2017 as compared to the prior year period. The benefit of the long-term Ethylene Sales Agreement with our sponsor Westlake Chemical, who has short ethylene for their derivative production, is the stable fee based cash flow to the Partnership. This contract represents 95% of our ethylene sales and protects the Partnership’s cash flow from the margin volatility that can be associated with the ethylene business. This ethylene contract, which is structured to generate a net margin of $0.10 per pound of ethylene to the Partnership along with the take-or-pay provisions with Westlake Chemical, incentivizes us to continue to look for opportunities to increase capacity and operating rates. For the first nine months of 2017, OpCo spent $57 million in capital expenditures as we completed the expansion at our Calvert City facility. This 100 million pound expansion was completed during the turnaround, which began in mid-March and ended in April. At the end of the third quarter, we had cash balances of $17 million and cash invested with Westlake Chemical to our investment management agreement of $119 million. Long-term debt was $477 million of which $223 million was at the OpCo level and $254 million was at the Partnership. November 1, 2017, we declared a quarterly distribution to unitholders of $0.3756 per unit. This distribution represents a 12% increase on a yearly basis. MLP distributable cash flow of $15 million provided coverage of 1.28 times for the quarter and continues us down the path to deliver consistent quarterly increases in distributions, targeting an annual low double digit growth rate. Now, I’d like to turn the call back over to Albert to make some closing comments. Albert?
Albert Chao: Thank you, Steve. The stable fee-based cash flow generated by our fixed margin ethylene sales contract with Westlake Chemical forms the foundation for us to deliver long-term growth in distributions to our unitholders. This enables us to successfully pursue dropdown transactions, organic growth and third-party acquisition opportunities to increase our earnings and cash flow. Looking forward, we plan to continue to deliver low double digit growth in distributions to our unitholders. The recent ethylene expansions in Lake Charles and Calvert City in 2016 and 2017 have added to our production capacity to fund these distributions. Our most recent dropdown highlights the extensive capacity in OpCo to fund earnings and distribution growth through future dropdown transactions. We will continue to evaluate all options available to us to grow MLP distributable cash flow and continue our targeted annual growth rate in distributions. Thank you very much for listening to our third quarter earnings call this morning. Now, I will turn the call back over to Jeff.
Jeff Holy: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting two hours after we conclude the call. We will provide that number again at the end of the call. Vince, we will now take questions.
Operator: Thank you. [Operator Instructions] Our first question is from Matthew Blair of Tudor, Pickering, Holt. Your line is open.
Matthew Blair: Steve, do you have the Q3 production level handy? And I think it was 904 million pounds in Q2. 
Steve Bender: 925.
Matthew Blair: Got it. And should we expect a turnaround at Petro 2 in 2018? I think the last turnaround there was in 2013.
Steve Bender: Matthew, as we continue to do our work, our current thinking and timing is expected to be now 2019.
Matthew Blair: Got it, got it. And then, would you expect to do another asset drop come apparent in 2018 and do you think that would be more likely an early 2019 event? And any thoughts on financing, would you expect another 50-50 split between debt and equity?
Steve Bender: Matthew, my expectation is we will undertake a drop down transaction in 2018. And I would expect that we would continue to want to make it accretive for unitholders. And so I would expect to have some meaningful portion of debt, the ratio we used in this most recently trough was half-half, 50-50 debt equity. And I would expect that would be a reasonable expectation as we march forward.
Matthew Blair: Very helpful. And then, lastly, do you have the unit count handy, both the average for the quarter and then the ending balance?
Steve Bender: I don’t have it handy, but if you’ll call me after the call, I will give it to you. 
Operator: [Operator Instructions] Our next question is from [John Evans from Street Capital] Your line is open. 
Unidentified Analyst: Can you just talk a little bit about your strategy going forward just on the distribution? You’ve grow it since you’ve become public and it’s been about a 12% growth rate. Is there any reason that you see in the near-term that you would accelerate that or decelerate it, or can you kind talk a little bit about just kind of your thought process relative?
Steve Bender: As we think about the growth in distributions, you can see that we have a very long capacity with the operating company continue to grow the distributions. And it is our intent to continue to grow in that low double digit growth rate. So, as long as the market is reflecting the appropriate value for those transactions, that would be our continuance; that’s our plan.
Operator: At this time, the Q&A session is now ended. Are there any closing remarks?
Jeff Holy: Thank you again for participating in today’s call. We hope you will join us for our next conference call to discuss our fourth quarter and full year results.